Operator: Good afternoon, everyone. My name is Bo and I will be your conference operator. At this time, I would like to welcome everyone to Intuit's Fourth Quarter and Fiscal Year 2025 Conference Call. [Operator Instructions] With that, I'll now turn the call over to Ms. Kim Watkins, Intuit's Vice President of Investor Relations. Please go ahead, ma'am.
Kimberly Anderson Watkins: Great. Thanks, Bo. Good afternoon, and welcome to Intuit's Fourth Quarter Fiscal 2025 Conference Call. I'm here with Intuit's CEO, Sasan Goodarzi; and our CFO, Sandeep Aujla. Before we start, I'd like to remind everyone that our remarks will include forward-looking statements. There are a number of factors that could cause Intuit's results to differ materially from our expectations. You can learn more about these risks in the press release we issued earlier this afternoon, our Form 10-K for fiscal 2024 and our other SEC filings. All of those documents are available on the Investor Relations page of Intuit's website at intuit.com. We assume no obligation to update any forward-looking statements. Some of the numbers in these remarks are presented on a non-GAAP basis. We reconciled the comparable GAAP and non-GAAP numbers in today's press release. Unless otherwise noted, all growth rates refer to the current period versus the comparable prior year period, and the business metrics and associated growth rates refer to worldwide business metrics. A copy of our prepared remarks and supplemental financial information will be available on our website after this call ends. With that, I'll turn the call over to Sasan.
Sasan K. Goodarzi: Great. Thank you, Kim, and thanks to all of you for joining us today. I'm incredibly proud of our momentum and strong fiscal year 2025 results. Our full year revenue grew 16% with another year of strong operating margin expansion. Our years of investments in data, data services, AI and human intelligence, coupled with strong execution against our AI-driven expert platform strategy fueled these outstanding results. Looking ahead to fiscal year 2026, we are confident in delivering another strong year of double-digit revenue growth and margin expansion. In the past year, we made significant progress powering prosperity for consumers, businesses and accountants. We launched a transformative all-in-one business platform with a virtual team of AI agents and AI-enabled human experts that can manage lead to cash for customers, accelerated our innovation in mid-market with the introduction of Intuit Enterprise Suite and new go-to-market capabilities and delivered breakthrough adoption of TurboTax Live as we disrupt the assisted tax category. Looking ahead, we're doubling down in these key areas. Starting with our business platform. We're making great progress delivering done-for-you experiences with expertise for our customers. Last month, we launched a transformative virtual team of AI agents that complete jobs on behalf of our customers, dramatically improving how businesses run and grow. Combined with our AI-enabled human experts, these agents are automating workflows and proactively delivering real-time insights to improve cash flow and fuel growth. Our redesigned user interface and new business feed highlights these real-time insights and tasks completed by agents on behalf of the customer. We're seeing strong traction since the launch last month with customer engagement in the millions and repeat usage rates significantly above our expectations, demonstrating the value that we're providing to our customers. We're well positioned to consolidate our customers' tech stack and spend and significantly increase their ROI, where AI and human intelligence are doing the work to fuel their success. With an all-in-one platform, we have all the pieces to help our customers grow, save time and save money while fueling into its growth. Turning to mid-market. We continue to make strong progress serving large and more complex customers, which represent an $89 billion TAM. We are focused on fueling the success of customers with $2.5 million to $100 million in annual revenue with our all- in-one platform, including QBO Advanced, Intuit Enterprise Suite and an ecosystem of connected services. Our comprehensive set of offerings is aimed at helping businesses achieve their growth goals such as boosting productivity and improving profitability by automating complex tasks, workflows and functions, delivering insights and recommendations. Many customers tell us they are over-digitized with their data trapped in a number of disparate applications. This means they are spending too much time and money managing their business and not getting the benefits and return on their investments. Our data shows customers on our platform are spending billions per year on disparate apps. We are well positioned to consolidate our customers' data and spend on Intuit's platform to help fuel their growth and save money all in one place. With quarterly product releases for Intuit Enterprise Suite, we aim to rapidly penetrate our existing TAM while expanding into new verticals. Our July product release was designed to supercharge customers' growth and profitability. The launch included improved multi-entity capabilities and new AI-driven, done-for-you setup experience that dramatically reduces the amount of time it takes customers to get up and running and new features that give customers a holistic view of their business KPIs, which streamline intercompany transactions and allocations. We also launched AI agents in Intuit Enterprise Suite, including accounting, payments, finance and project management agents, automating daily tasks, reducing hours of work to just minutes. Our done-for-your experiences are reducing manual work by up to 60% for customers when setting up projects. A recent Forrester study estimated that customers can see nearly a 300% return on investment over 3 years when using Intuit Enterprise Suite. As we evolve our go-to-market strategy for mid-market, we're strengthening our partnership with the largest tech-forward accounting firms. We're helping accountants serve their business customers more efficiently and grow their practices profitability. In Q4, we continued to see strong growth in IES deals through accountants. This quarter, we signed a partnership with a rapidly growing top 25 accounting and technology advisory firm. This particular firm serves more than 14,000 business clients, representing a meaningful opportunity to acquire new customers over time. We have many other partnerships of similar scale in the pipeline. I'm pleased with the momentum we're seeing with Intuit Enterprise Suite. The total number of new billed customers in Q4 was up nearly 2x versus Q3 with successful adoption by some very large customers, including 1 customer with over 200 entities that is also using payroll and payments. As we head into fiscal year 2026, we're nearing the 1-year mark of launching Intuit Enterprise Suite, and I'm proud of the progress we've made with both our product and our go-to-market strategy, which positions us to penetrate the $89 billion mid-market TAM. Turning to our consumer platform. We delivered an outstanding year. Consumer Group revenue grew 10%, more than 2-point acceleration from last year. This was driven by breakthrough adoption of TurboTax Live, which grew 47%, well above our long-term expectation of 15% to 20% revenue growth. This is the power of bringing data, AI and human intelligence together to provide better experiences for customers. Credit Karma grew 32% this year and also drove 1 point of tax revenue growth as we delivered a seamless customer experience across TurboTax and Credit Karma. Our results also demonstrate the incredible opportunity to win as 1 consumer platform to drive year-round engagement and increase monetization by serving a broader set of needs from building credit to building wealth. The learnings we gained this year are fueling our investments and innovation to deliver durable double-digit growth across our consumer platform. We have significant momentum across the company, and I cannot be more excited about our opportunity ahead to accelerate growth. Our strategy and relentless focus on execution is working. We're leveraging data, data services, AI and human intelligence to become the all-in-one platform for consumers, businesses and accountants. Now let me hand it over to Sandeep.
Sandeep Singh Aujla: Thank you, Sasan. We delivered strong results in fiscal 2025 across the company, including total revenue growth of 16%, a more than 2-point acceleration from fiscal 2024, and GAAP and non-GAAP operating income growing 36% and 18%, respectively. Our disciplined approach to managing the business allowed us to achieve strong margin expansion while driving breakthrough adoption in assisted tax, introducing transformative AI agents across our business solutions and building our mid-market go-to-market capabilities. Our fourth quarter results include: revenue of $3.8 billion, up 20%; GAAP operating income of $339 million versus a loss of $151 million last year; non-GAAP operating income of $1 billion, up 39%; GAAP diluted earnings per share of $1.35 versus a diluted loss per share of $0.07 last year; and non-GAAP diluted earnings per share of $2.75, up 38%. Now turning to the business segments. Global Business Solutions Group revenue grew 18% during the quarter or 21% excluding Mailchimp and 16% for the full year or 18% excluding Mailchimp. Online Ecosystem revenue grew 21% in Q4 or 26% excluding Mailchimp and 20% for the full year or 25% excluding Mailchimp. This demonstrates the power of our all-in-one platform and that the innovation we are delivering is resonating with our customers, particularly as we move upmarket. We are making progress consolidating customers' data and spending with us to help fuel their growth. Our robust growth in Online Ecosystem revenue was driven by strength across both Online Accounting and Online Services. QuickBooks Online Accounting revenue grew 23% in Q4 and 22% in fiscal 2025. Growth for the quarter and year was driven by higher effective prices, customer growth and mix shift. Online Services revenue grew 19% in Q4 or 29% excluding Mailchimp. Growth in Q4 was driven by money, which includes payments, capital and bill pay, as well as payroll. For fiscal 2025, Online Services revenue grew 19% or 29% excluding Mailchimp driven by money and payroll. Within money, revenue growth in the quarter reflects payments revenue growth, which was driven by customer growth and increase in total payment volume per customer and higher effective prices as well as QuickBooks Capital revenue growth. Total online payment volume growth in Q4 was 18%, relatively consistent with the range we have seen over the last several quarters. Within payroll, revenue growth in the quarter reflects customer growth, higher effective prices and mix shift. Within Mailchimp, the revenue was down slightly versus a year ago, in line with our expectations for the quarter. We remain focused to ensure the offering resonates with both mid-market and small businesses, and we are confident in delivering an all-in-one business platform that integrates the power of Mailchimp and QuickBooks. We expect Mailchimp to exit fiscal 2026 growing double digits. The overall addressable market for our business platform is over $180 billion, roughly half of which is mid-market. And we are well positioned to win as an all-in-one platform. Online Ecosystem revenue grew 21% in Q4 and 20% for the year. This includes approximately 40% growth for both the quarter and the year in Online Ecosystem revenue for QBO Advanced and Intuit Enterprise Suite that serve mid-market. Online Ecosystem revenue for small businesses and the rest of the base grew a strong 18% for both the quarter and the year. Our Online Ecosystem revenue growth reflects the progress we're making with our strategy of serving both small and mid-market businesses with more complex needs. We had an exceptional year driving 23% growth in combined QBO Advanced and Intuit Enterprise Suite customers and 8% growth in U.S. QBO customers, excluding Self-Employed. Overall, online paying customers grew 5%, reflecting the headwinds we saw in our Mailchimp and international businesses, both areas where we have game plans to accelerate growth in the future. Online Ecosystem ARPC growth accelerated more than 3 points in fiscal 2025 to 14%, reflecting our progress serving more complex customers. We feel great about the customer growth and ARPC expansion we saw this year with larger and more complex mid-market customers in our base. Turning to desktop. Desktop Ecosystem revenue grew 10% in Q4 and 5% for the full year. QuickBooks Desktop Enterprise revenue grew in the mid-teens in Q4 and high single digits in fiscal 2025. Turning to our consumer platform. Consumer Group revenue of $4.9 billion grew 10% in fiscal 2025. This outstanding tax performance reflects breakthrough adoption of TurboTax Live with revenue growth of 47%, a 30-point acceleration from last year, and customer growth of 24%. We saw strong customer growth in full-service consumer and business tax offerings, both outpacing overall TurboTax Live customer growth. The learnings we gained this year will help fuel durable growth in the future. In our ProTax Group, revenue was $621 million in fiscal 2025, up 4%. Credit Karma revenue grew 34% in Q4 and 32% in fiscal 2025. On a product basis in Q4, personal loans accounted for 15 points of growth, credit cards accounted for 13 points and auto insurance accounted for 5 points. As Sasan mentioned earlier, Credit Karma drove 1 point of revenue growth in fiscal 2025 as we delivered a seamless customer experience across TurboTax and Credit Karma. I am proud of the progress the team made innovating on behalf of our members and partners this year, and I'm excited about the opportunity ahead. Shifting to our balance sheet and capital allocation. Our financial principles guide our decisions. They remain our long-term commitment and are unchanged. We finished the quarter with approximately $4.6 billion in cash and investments and $6 billion in debt on our balance sheet. We repurchased $748 million of stock during the fourth quarter and $2.8 billion during fiscal 2025. Depending on market conditions and other factors, our aim is to be in the market each quarter. The Board approved a quarterly dividend of $1.20 per share payable on October 17, 2025. This represents a 15% increase versus last year. Now shifting to fiscal 2026 and Q1 guidance. Our fiscal 2026 guidance includes total company revenue of $20.997 billion to $21.186 billion, growth of 12% to 13%. Our guidance includes Global Business Solutions Group revenue growth of 14% to 15% or 15.5% to 16.5% revenue growth, excluding Mailchimp. Our guidance also includes overall Consumer Group revenue growth of 8% to 9%, including TurboTax growth of 8%, Credit Karma growth of 10% to 13% and ProTax growth of 2% to 3%. This guidance reflects the segment reporting change we shared today in our press release and fact sheet. GAAP diluted earnings per share of $15.49 to $15.69, growth of 13% to 15% and non-GAAP diluted earnings per share of $22.98 to $23.18, growth of 14% to 15%. We expect a GAAP tax rate of approximately 23% in fiscal 2026. Our guidance for the first quarter of fiscal 2026 includes total company revenue growth of 14% to 15%, GAAP earnings per share of $1.19 to $1.26 and non-GAAP earnings per share of $3.05 to $3.12. You can find our full fiscal 2026 and Q1 guidance details in our press release and on our fact sheet. We are also reiterating our long-term growth expectations for each of our businesses. First, Global Business Solutions Group. With the momentum we see in Online Ecosystem revenue growth, we are reiterating our long-term revenue growth expectations for the Global Business Solutions Group of 15% to 20%. This includes online paying ARPC growth of 10% to 20% and online paying customer growth of 5% to 10%. Second, TurboTax. We had a strong tax season, and we see significant runway ahead to penetrate our TAM, particularly in assisted tax, which we expect to be the key driver of future growth. We are reiterating the TurboTax long-term revenue growth rate of 6% to 10% in this interim period with TurboTax Live revenue expected to grow 15% to 20%. Finally, Credit Karma. We are reiterating our long-term revenue growth expectations of 10% to 15%, reflecting the current size and scale of the business, our focus on delivering year-round benefits that lead to engagement, monetization and TurboTax growth. With that, I'll turn it back over to Sasan.
Sasan K. Goodarzi: Thank you, Sandeep. We are well on our way to becoming the global tech leader for enabling financial success for consumers, businesses and accountants. Given our early bet on AI, our low penetration of our large $300 billion TAM and the significant investments we've made in the last decade in data, data services, AI and AI-enabled human intelligence, we are well positioned to power prosperity for our customers and deliver sustained double-digit revenue growth with margin expansion. We look forward to unpacking why Intuit continues to have a very bright future with the best years yet to come at our Investor Day next month. With that, let's open it up to your questions.
Operator: [Operator Instructions] We'll go first this afternoon to Siti Panigrahi at Mizuho.
Sitikantha Panigrahi: Sasan, that's a great end to fiscal '25. Mainly, I want to focus on the small business that your global business grew 18% growth ex Mailchimp. But as you look at fiscal '26, what are the areas you're more excited about? And what did you learn in the fiscal '25 execution? And if I could add one more to this, there is concern about this lead generation with the slowdown in SEO search. I would love to hear your views in terms of what you're seeing in your QuickBooks business.
Sasan K. Goodarzi: Yes. Sure. Thank you for the question. First of all, there's 3 things I would point out that gives us confidence as we -- for the business group as we head into the fiscal year that we're in. One, the customer growth that we saw in U.S. QBO of 8%, the customer growth that we saw in mid-market of 23% is quite strong, and we're excited about what that will mean moving forward as we address some of the headwinds that you heard Sandeep talk about around Mailchimp and international. So that's one area that we're very excited about. I would say the second is just the fact that we now have an all-in-one platform. We have all the pieces really in one place to help a customer from lead to cash. And when you look at the fact that we just launched our new business feeds with a virtual team of AI agents and AI-enabled human agents and the fact that we have several million customers that are already engaging, that gives us a lot of confidence as we look ahead durably relative to the growth that we can drive, particularly, penetration of services. And the third is mid-market. I mean when you look at mid-market holistically, 40% growth in context of the overall 20% growth that we had in online for the year and the acceleration that we have with our product launches and our go-to-market capability, that gives us not only confidence for '26, but really beyond durably in terms of what's possible. So that's on the business group front. In terms of AI search, it actually plays into our favor. And let me just share a couple of stats. One, and this is across, by the way, our platform, not just QuickBooks, our traffic is actually up quite significantly this year. And AI search is 1% of our overall traffic. And the top 25% brands actually have a 10x visibility in AI search. So which is when you look at brands like QuickBooks and Credit Karma and TurboTax and Mailchimp, it actually plays into our favor. And then the last couple of things I would say is Credit Karma is not at all reliant on SEO search at all because it's -- we have 100 million folks that are in-app. And so less than 1% is SEO search. So that's not really impacted at all. And last but not least, the thing -- final thought I would leave you with is the essence of us being an AI-driven expert platform company and an AI company, we've actually been all over this in terms of thinking through how we think about tagging our content, how we show up so that not only do we show up in the AI apps, but over time, when it becomes a bigger part of our search, today, it's only 1%, that we play a far bigger role. And maybe I lied, let me make one last point. The majority of our growth comes from recommendations. And search overall is actually less than sort of 15% of our overall portfolio as a whole. So I just wanted to make sure that, that point landed as well.
Operator: We'll go next now to Keith Weiss of Morgan Stanley.
Keith Weiss: Congratulations on a really strong overall FY '25, a lot of the pieces coming together. Looking forward into FY '26, really one question but in 2 parts. I think on one side of the equation, you guys released a lot of really interesting functionality with new agents a couple of weeks back. What should our expectations be for monetization around those agents? Is it still too early? Or what should the time frame we should be thinking about those ramping up into the revenue base? And then on the other side of the equation, Mailchimp has been a drag through FY '25. That was the one bad part of the equation. But you guys sound really confident we're going to come back to double-digit growth. Any inklings you could give us on what's driving that confidence in getting that business back to a double-digit growth rate so it's no longer a drag on this overall GBS revenues anymore?
Sasan K. Goodarzi: Yes, absolutely, Keith. So let me take your first question, which is just around our launch of our all-in-one platform with the virtual team of AI agents and human experts. A couple of things I would say. We have high expectations around monetization in the future. We have not assumed anything really in our guidance for this year. So that's the first and foremost. Second, it's actually thus far above our expectations in terms of engagement. As I mentioned earlier, we just launched this in July, and we have a couple of million customers that have been engaging with the AI agents, which is actually quite significant after 1 month of launch. And the repeat engagement, the discovery of our apps is actually above our expectations. What we're really focused on right now is just making the experience and the adoption of our services hum. And we're giving our teams time to make that hum because that's -- the first step is you want engagement and repeat engagement and discovery, which is above our expectations. The second is monetization. So we think it's going to play a very big role because when you look at the billions of dollars that are actually spent by our customers on our platform on services that are not ours, we are quite confident that we can consolidate not only the tech stack, but the tech spend, which is where the monetization comes in. So I would have expectations for the future, not this year. We didn't count on it in our guidance just to be prudent. The second thing is you're absolutely right, Mailchimp is a drag on our growth. And we expect to exit this fiscal year fourth quarter in double digits. And what you should expect, by the way, is a slow ramp throughout the year. And there are 2 things that we see today that give us confidence. One is our sales playbook and the number of sales folks that we've added is starting to really pay off going after larger customers mid-market. And that's -- that will be a big driver of growth in the future. Two, the product improvements that we've already made, but a lot more that are coming. We're actually seeing green shoots. We have the highest customer satisfaction that we've had ever since we've acquired the business based on the launches that we've had. So those things are green shoots that give us confidence that as we look into our trajectory that we would exit double digits in the fourth quarter.
Operator: [Operator Instructions] We'll go next now to Kirk Materne at Evercore ISI.
Kirk Materne: [indiscernible] I guess, [ Carl ], for you, there's a lot of things going positively right now with [ Xtend ] with some of the partners contributing. I was just kind of wondering, are there any crosscurrents out there that are sort of offsetting that relative to what you would have thought maybe at the beginning of the year, obviously, tariffs with Europe? Just anything you could give us some context on because it seems like you have some really nice momentum in some of your early [indiscernible]...
Sasan K. Goodarzi: Kirk, was that question for us?
Kimberly Anderson Watkins: We can come back to Kirk.
Operator: We'll circle back around to Mr. Materne. We'll go next now to Alex Markgraff of KeyBanc Capital Markets.
Alexander Wexler Markgraff: Sasan, can you maybe talk about or just sort of outline the product and go-to-market priorities around IES in '26? Just thinking about some of the momentum behind the business and the potential acceleration in '26.
Sasan K. Goodarzi: Yes. Absolutely. There's really, I would say, threefold. One, we are very focused on the several hundred thousand of customers that are in our base, up to about 800,000 folks in our base that are eligible for either QBO Advanced and/or Intuit Enterprise Suite. And so we are very focused on continuing to mine those customers, and that's a big part of what's driving the growth that we're experiencing now. Two, we've really most recently started creating a flywheel effect in having discussions with our accountant partners. That is -- those are sort of more longer-term opportunities, but that's a really big opportunity for us, not just in FY '26, but I would say beyond now that we're getting traction with Intuit Enterprise Suite and Advanced, but particularly Intuit Enterprise Suite across multiple verticals. And I would say last but not least, it's an important reminder for all of us that we're 1 year in with Intuit Enterprise Suite. And we just had our largest launch in July because we do quarterly product releases. And really, our focus is to do 2 things. One, to be able to accelerate penetrating our existing addressable market but to actually start opening up our total addressable market. And we're, of course, very excited about Ashley being on board and accelerating our progress. But those are the key, I would say, product and go-to- market priorities.
Operator: We go next now to Arjun Bhatia of William Blair.
Arjun Rohit Bhatia: Sasan, for you on the -- some of the agentic capabilities and the AI that you're launching seems very interesting. I'm curious how you think about AI readiness amongst your base. Clearly, your getting the engagement already, but how ready are your customers to kind of implement these agents? And does that require some work on your end? Or is it fairly sort of plug and play kind of thinking through what we might expect in '26 and '27?
Sasan K. Goodarzi: Yes. Actually, I love your question because it's sort of very customer back -- and I think it's important as we think about serving, whether it's consumer, small or large businesses. The first thing I would say is people are using AI apps in their life, but they don't really care about AI. What they care about is, help me grow my business. Help me get customers. Help me understand where I should focus my marketing dollars. Help me understand what financial decisions -- and that's was most important. And so really -- let me bring that to life by just sharing an experience that is part of what we've launched with you. So for instance, one of the things you could see in our business feed is that it will show the customer that they had 10 unpaid invoices and that we, in essence, based on their past permission, executed a follow-up to go get that money for the customer. And then we actually -- when they click on it, they see how their cash flow has improved. Or in the flow of the customer, we'll send them a notification and let them know that, hey, they're eligible for a line of credit based on the sales growth that they're seeing, and we'll show them that sales growth. So really what the AI agents are giving us the ability to do is to help customers make decisions. And I think that's really what customers care about. It's less about, is it an AI agent, but the fact that in moments of truth, we're actually helping them get paid, pay others, get access to line of credit, understand what decisions they can make to drive growth, which really -- I'll end with the last point, and that is the Forrester study that we very intentionally shared in our script. And that is that what we're really after is helping customers consolidate their data, their tech stack and their spend all in one place. And when we do that, there is a 300% ROI over a 3-year period because in essence, when the customer's data is all in one place with our AI agents, we have the ability to help them make better decisions to drive revenue growth or profitability through our business feed and AI agents doing the work and/or when everything is in one place, we can drive -- we're automating tasks, we're automating workflows and it delivers efficiently. And last but not least, when we consolidate their tech stack, they actually spend more with us, but overall, they spend less. And so that's the way I would think about it relative to our customers and what we're experiencing as we're engaging our customers with these new experiences.
Sandeep Singh Aujla: And Arjun, one other thing I would add to it, this is where we were super deliberate in how we introduce agentic experiences, we incorporate them into the lineup. So we expose our customers to them as opposed to having the customers go and pick a separate offering to add on. So that deliberate decision is also what is helping customers see the productivity, see the better business outcomes. And that's actually leading to conversations around what's the next set of agentic experiences AI involved because the customers are showing higher receptivity to it, as Sasan mentioned, significantly higher repeat usage than even our own internal expectations.
Operator: We go next now to Kirk Materne of Evercore ISI.
Kirk Materne: Sorry about earlier. Sasan, I was wondering if you could actually just talk a little bit about Credit Karma. Obviously, a fantastic year for that business. I think there's some concern, obviously, with that business that it can be potentially more cyclical than other parts of your business. But the double-digit guide for next year against what are very tough comps seems to give some indication that you guys feel good about how that's sort of operating. Just curious if you could add a little bit more color to sort of the confidence in the guide and maybe sort of some of the new product lines that are coming about to make that perhaps a little bit less cyclical than it was perhaps before you bought it in the early days.
Sasan K. Goodarzi: Yes. Sure, Kirk. First, let me just start with the strategic nature of why we, again, acquired Credit Karma because it's just -- it's important to reground there. And that is what we're really ultimately after is to create one consumer platform so we can help customers with benefit delivery on an ongoing basis. And by the time it's tax time, we have really an opportunity to do people's taxes for them right through the Credit Karma platform. So that's an important element because a lot of the innovation this year and a lot of what we already talked about, which is the contribution it had to tax, is a very important part of the go forward, which is engaging customers year-round. So one element is just tax and the confidence it gives us overall in the consumer platform. The other is because of all of our data and AI investments, we're actually taking share because when you look at our credit card and personal loan performance, the majority of it is actually great execution and where our share is increasing. And the primary reason why the share is increasing is because of all of our data and AI investments because we engage customers in-app, and we engage them at the right moment of truth knowing when they are seeking a financial product, and we put choice in front of them and they're able to interact with us to better understand what is right for them. So that's an important element, which is share gains that gives us confidence. And it's been several quarters in a row where our execution is really outpacing what we even anticipated, which leads to the last thing that you asked about, which is cyclicality. I mean we've been investing heavily in things that aren't as cyclical. One is tax that I talked about, which is the whole reason why we acquired the platform. But two is insurance. Three is prime customers that really, when you look at the cyclicality of Credit Karma, the primary driver in the last several years was personal loans by those that are actually subprime or near prime, which is why we've been really focused on prime customers because they have a different set of needs. And so a lot of innovation around prime customers and insurance, as I mentioned a moment ago. And then last but not least is just around money. We're investing heavily to not only provide immediate and instant access to people's money when it's refund time, but how do we then engage those customers year-round when it comes to their money. And so it's a holistic set of those areas of innovation that gives us confidence, not just in Credit Karma, but just across our consumer platform as we look ahead.
Operator: We go next now to Taylor McGinnis of UBS.
Taylor Anne McGinnis: So if I look at the global solutions business performance, excluding Mailchimp, it was really strong in 4Q, and it looks like that was driven by an acceleration in online. So first, can you maybe talk through the drivers of that performance and how durable you think some of those trends could be as we go into 2026? And then secondly, as we look ahead into the guidance, excluding Mailchimp, it implies a little bit of a decel. So maybe you could just walk us through how we should think about the implied -- what that implies for desktop versus online and some of the assumptions there.
Sandeep Singh Aujla: Taylor, it's Sandeep. In terms of the Q4, the acceleration that you correctly pointed out was across both accounting and services. On the accounting side, as we continue to scale in the mid-market, that aided as well as us introducing a new lineup in early July. So those are the 2 factors that drove the -- on the accounting side. And on the services side, it was driven by our investments and innovation we've been driving across our money portfolio, including innovations such as making all invoices payable, which is something we rolled out in Q4, and that is continuing to see good momentum. So again, these are things that are very durable, and they will continue to pay off into the new fiscal year. In terms of your question on the -- how to think about guidance ex Mailchimp, the area I would point to you that is a key factor there between what we delivered in fiscal '25 and our guidance for fiscal '26 is less pricing. This is something that I discussed in Q4 as well, if you remember, is that once you look outside of our accounting platform in desktop and in services, we had less pricing heading into fiscal '26 than what we took in '25. So the core momentum in the business remains strong, and the delta is driven by less pricing actions.
Operator: We go next now to Brad Zelnick of Deutsche Bank.
Brad Alan Zelnick: I was on mute. You would think you'd -- that I'd figure that out by now. Can you maybe just help expand a little bit on improvements that underpin the confidence in the 15% to 20% TTL growth next year after such a fantastic year?
Sasan K. Goodarzi: Yes. Brad, let me maybe kick us off. It's really, I would say, comes down to 2 big things. One is mid-market, $90 billion TAM. We are just scratching the surface with our penetration in that addressable market. Customers grew 23%. When you look at overall online growth, which was 20%, up to now $8 billion, over $8 billion, 40% growth in mid-market. So that gives us a lot of confidence for years to come, not just FY '26. I think the other one is with the launch that we had, which was sort of our all-in-one launch with a virtual team of agents and AI-enabled human experts, we now have all of our apps in one place to help customers manage from lead to cash. In fact, one of the reasons I mentioned earlier that we like where we are on a couple of million customers engaging, discovery and repeat engagement is actually higher than what we had anticipated for only a month in, is that customers are actually surprised that we have all the apps that we have today because now it's all in one place. They visibly see it in one place, and we're actually continuing to do more and more of the work for them. And there's a significant services adoption opportunity within that, Brad. And so those are the 2 big things that give us a lot of confidence looking ahead because large TAM, low penetration. And I just think our product launches are positioned well for durable growth for years to come.
Brad Alan Zelnick: Sasan, that was really helpful. And shame on me, I didn't speak very clearly. I actually meant to say TurboTax Live and I abbreviated it TTL, but that was still very helpful.
Sasan K. Goodarzi: Well, you know what, there's nothing like answering questions that did not get asked. Let me at least -- and Sandeep was listening. Let me let him answer that question.
Sandeep Singh Aujla: No worries, Brad. You got cut off for the first part. So we were actually debating the 15% to 20%. On TurboTax Live, look, we had a phenomenal year in fiscal '25 and made tremendous progress across showing up local, across making sure we extended our brand equity towards the assisted category. And that showed up in the timing of our brand spend and delivering a better together experience with Credit Karma with many of those customers coming over and picking the assisted method. And across all of those, we had outstanding outcomes, but we also had tremendous learnings, which gives us the confidence that as we execute that playbook in the year ahead and execute even better, that will continue to drive strong momentum in assisted tax category, and that's where the confidence in the 15% to 20% comes.
Operator: We go next now to Kash Rangan of Goldman Sachs.
Kasthuri Gopalan Rangan: I'm with the Brad guy. I thought I heard TurboTax Live. But I love the explanation for the QuickBooks Online though. But Sasan, somewhat of a mundane topic, maybe back to the essentials of how Intuit goes to market with its QuickBooks business. I think people have been a little apprehensive about AI searches, AI overviews taking over from regular paid search, that sort of thing. Can you give us a primer on how is the go-to-market engine of QuickBooks and other products that do depend upon ads, Internet ads works in this new era? And how do you take advantage of -- or how do you make sure that you're not first of all disadvantaged? And how do you take advantage of AI search taking over relative to normal paid search?
Sasan K. Goodarzi: Yes. Thank you, Kash, for the question. First of all, I would just start with the fundamental premise that as an AI company, we're all over all things AI, inclusive of search and how you show up in search, whether it's -- across any platform. So that's really important in terms of just clarity, visibility and focus on search. The second thing I would say is generally, we have not been overly reliant on search. I mean our -- specifically in the business group, our traffic was actually up double digits this past year, and less than 15% of that traffic was actually driven by search. So that's just an important context to understand the elements of where our traffic comes from because we've intentionally over the years actually have invested in many different channels to drive search down because of where customers are. So that's just, again, important to understand. With all of that said, as I mentioned earlier, AI search today is 1% of our overall search. But we have been doing a lot of work to ensure that over time, we actually show up with where customers are no matter what platform they are on, whether it's social, whether it's search. And last but not least, the way to think about our business is almost in simplistic terms, sort of 3 dimensions. One dimension is one-to- many, which is how we drive campaigns to help customers that are solopreneurs that just started their business to be aware that we are an all-in-one platform and we can help them grow. The other is much more one-to-one for our mid-market. And the one-to-one is our accountant channel, which is a large driver of growth, and then one-to-one with businesses. And third, this is the power of our platform. We don't have to spend money on payments. We don't have to spend money on payroll. We don't have to spend money on SMS because we're a platform where it's all in one place. And when we draw a customer in with one benefit, we can then -- our AI agents can do the work to help customers, whether it's to get paid, whether it's to help them with payroll. And as you heard Sandeep talk about earlier, we're very intentional about what we make available in our SKUs to provide the capability and availability to our customers. But that's really the way to think about how we go to market, the way to think about search, how important it is to our business. And last but not least, we benefit because we're a top brand from AI searches as they grow over time.
Sandeep Singh Aujla: One thing I also would add, Kash, to keep -- one thing to keep in mind, Kash, and I think it's an important consideration, that search and AI traffic is not apples-to-apples. The AI traffic tends to be much higher consideration and converts order of magnitude better through the funnel. So that's a very important area that we are very cognizant of and making sure we are investing to get more of that AI traffic because it just makes the funnel order of magnitude more efficient.
Kasthuri Gopalan Rangan: Awesome. I'm so glad that I stuck my neck out a few weeks ago. Investors asked me about this, I said, anybody working for Sasan will have figured this out. Otherwise, they will not have a job. So I'm so glad you're on top of it.
Sasan K. Goodarzi: Well, thank you for your confidence, my friend. I'll pass that on to the team.
Operator: We'll go next now to Steve Enders of Citi.
Steven Lester Enders: I guess I just want to ask on just maybe SMB health and maybe what you're seeing out there from a macro perspective. Have you seen any change in terms of how -- what you're seeing from that perspective, either in your underlying data or from customers coming through? Just maybe what have you seen from a deal environment perspective?
Sasan K. Goodarzi: Yes. Sure. A couple of things I would say. When you talk about businesses, you got to do it while talking about consumers, right, because businesses spend with businesses, but consumers spend with businesses. So I'll just start with consumers first. And generally, what we see across our well over 100 million customers is balances on things like credit cards is up 4% year-over-year, but please understand that over the last several years, it's been up double digits. And credit scores, depending on your credit band, could be down about 10 points. And so consumers, it's a good job market, but they are very intentional about where they spend money, and they are stretched. When it comes to businesses that we see on our platform, revenues are generally flat, but profits and cash flows are actually up year- over-year. Now that's across 10 million customers. There are sectors that are performing far better, and then there are sectors that aren't performing well. And as you know, we're not concentrated in any particular sector, but sectors like real estate, advertising, manufacturing, depending on what you manufacture are down, whereas other sectors are up. So net-net, profits are up, cash flows are up across the millions of customers that we serve.
Operator: We'll go next now to Alex Zukin of Wolfe Research.
Aleksandr J. Zukin: Congrats. Sasan, maybe for you, kind of following up on the prior question about just the general kind of macro picture for your customer base. If you think about how, over the course of the next 12 to 18 months, you think about all of the functionality in the products and as well as in the AI functionality, starting to mix shift your customers with a more kind of simplistic yet holistic offering into higher tiers of service, how much is it -- how much push is it versus pull? How does the agentic functionality unlock that opportunity for you? And it seems like there's an opportunity, at least seemingly with AI search yielding better and in-app selling and cross-selling also driving more efficiency in the go-to-market process, to also do that in a more margin-positive way. So maybe just comment on both of those aspects, if you can.
Sasan K. Goodarzi: Yes, yes. Actually, I love your question. So a couple of things I would say. One, every customer that we talk to and I personally talk to and accountants, they are overwhelmed with the number of apps that they have. They are overspending money on a bunch of different apps that is requiring them to spend more time than ever trying to figure out what is going on in their business. And even more important than all of that is their data is trapped in a bunch of different apps. And so really, our opportunity and our biggest impact that we are having right now is with our all-in-one platform, and that's why that Forrester study was so important that we shared in the script, is to consolidate data, consolidate the tech stack and consolidate spend. And because by doing that, that 300% return on investment is driven by when you consolidate data on our platform, our AI agents can do far better work to help customers with revenue growth and profitability growth. When we consolidate the tech stack, we can automate tasks and workflows to drive a lot more efficiency all in one place versus a bunch of different apps. And last but not least, when you sort of add up what a customer pays to have a bunch of different apps versus what they would pay us, and by the way, pay us -- end up paying us more, they end up saving money. So we have proof, substantial proof that, that works. And I think to your question, it's a push and a pull. There's an element of with our AI agents and AI-enabled human experts, we are -- ultimately, what we are seeing and what we're looking to accelerate is how customers start doing more of their work on our platform versus using different apps. But we will also be working on how do you create a push because ultimately, you're working against human inertia. And although you have a lot of different apps, although you're spending a lot of money, the human inertia [ to just ] change is hard. And so one of the things that we'll continue to look at is what we include in our lineup and what we need to do to motivate, inspire and drive consolidation because now we have everything in one place. So it is a push and a pull. And that's really how we're thinking about our ongoing execution of our lineup and evolution of our lineup as we look ahead.
Aleksandr J. Zukin: Sounds like ERP for the SMB, and it's working.
Sasan K. Goodarzi: Yes. Thank you, Alex.
Operator: We'll go next now to Brad Sills of Bank of America.
Bradley Hartwell Sills: I wanted to ask a question around the AI platform, maybe a little different angle. You've had the invoice generator out for quite some time, but would love to hear about any traction you're seeing there and how that's performing. And could that be a leading indicator perhaps for other agents that might be coming over time?
Sasan K. Goodarzi: Yes. Absolutely. I mean I'll tell you what we saw very early on, which is, one, customers that are using our invoice reminder, which I think is what you were asking about, we actually see 10% higher payments volume and conversion by those that are using the invoice reminder and they're getting paid 5 days early. And that -- I'm glad you asked about it the way you did because that's just a tangible example of how our payments AI agent with that sliver of focus, which is invoice reminder, can have a substantial impact on our customers. And really, then if you expand that, what we're really focused on with our payments AI agent is how do we pay the customers billed on their behalf? How do we help them with line of credit? How do we help them with instant deposit? How do we actually help create an estimate that's payment-enabled upfront, and they don't have to lift a finger because they have a handwritten note, take a picture of it, and we just create everything for them. So those are all, expanding beyond your question, the opportunities that we have with launching a virtual team of AI agents.
Operator: We'll go next now to Brent Thill of Jefferies.
Brent John Thill: Sasan, the playbook to get Mailchimp back to growth, how do you think about this? What's the most important thing? I know you mentioned the user interface was a little too complicated for SMBs to use. How much longer is this going to take to get you back to growth in that business?
Sandeep Singh Aujla: Brent, this is Sandeep. Why don't I take this one? So a couple of things. Let's start with areas where we are seeing really good progress on the Mailchimp side, which is in the mid-market. As Sasan mentioned, we are scaling the sales force account management team there and getting really good ROI on that headcount and seeing really good progress there. The area where we continue to iterate fast, and I feel really good about the progress the team is making and it's showing up in the customer satisfaction scores going up and being some of the highest in recent history, is on the small businesses. The small businesses are the bread and butter. And the angle there is to make sure the small business can get to its first and second benefit on our platform within the first 30 days or thereabout. And that's where the team is helping make sure the offering is resonating, that they're able to navigate it, they're able to see the benefit. And we are making good progress, and I feel good about it, which is why we are confident in this business exiting double digit this fiscal year. The one thing to keep in mind, it is a subscription business. So there is a tilde 6-month lag in terms of these actions getting implemented and them showing up in the revenue, scaling up. So that's why we think it will be a couple of quarters at least before we start seeing the scaling up in revenue, but the momentum and the progress, we feel good about in Mailchimp.
Operator: And ladies and gentlemen, that is all the time we have for questions this afternoon. Mr. Goodarzi, I'd like to turn things back to you, sir, for any closing comments.
Sasan K. Goodarzi: Yes. Thank you, everyone, for attending. Thank you for all your great questions, and we look forward to seeing everybody at Investor Day. Until then, be safe. Bye, everybody.
Operator: Thank you. Again, ladies and gentlemen, that will conclude today's conference call. We'd like to thank you all so much for joining us today and wish you all a great remainder of your day. Goodbye.